Operator: Good afternoon. My name is Amber and I will be your conference operator today. At this time, I would like to welcome everyone to the Semtech Corporation’s Third Quarter Fiscal Year 2017 earnings release. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Sandy Harrison, Director of Business, Finance and Investor Relations, you may begin your conference.
Sandy Harrison: Thank you, Amber. Welcome to Semtech’s conference call to discuss our financial results for the third quarter of fiscal year 2017, ended October 30, 2016. Speakers for today’s call will be Mohan Maheswaran, Semtech’s President and Chief Executive Officer and Emeka Chukwu, our Chief Financial Officer. A press release announcing our unaudited results for the quarter was issued after the market closed today and is available on our website at semtech.com. Today's call will include forward-looking statements that include risks and uncertainties that could cause actual results to differ materially from the results anticipated in these statements. For a more detailed discussion of these risks and uncertainties, please review the Safe Harbor Statement included in today's press release as well as other risk factors section of our most recent periodic reports filed with the Securities and Exchange Commission. As a reminder, comments made on today's call are current as of today only and Semtech undertakes no obligation to update the information from this call should facts or circumstances change. During the call, we will refer to non-GAAP financial measures that are not prepared in accordance with Generally Accepted Accounting Principles. A discussion of why the management team considers such non-GAAP financial measures useful, along with detailed reconciliations of such non-GAAP measures to the most comparable GAAP financial measures are included in today's press release. All references to financial results in Mohan’s and Emeka’s formal presentations on this call refer to non-GAAP measures unless otherwise noted. With that, I will turn the call over to Semtech's Chief Financial Officer, Emeka Chukwu. Emeka?
Emeka Chukwu: Thank you Sandy. Good afternoon everyone. For Q3 of fiscal 2017, GAAP net sales was at $137.2 million an increase of 1% sequentially and 18% from the prior year. GAAP net sales were reduced by 3.7 million shared based compensation, associated with a Comcast warrant. Excluding these reductions, net sales were $148.9 million, a 4% sequential increase, a 22% increase over Q3 of fiscal 2016 and the fourth consecutive quarter of results above the midpoint of our guidance. Excluding the impacts of the Comcast warrant revenue reduction, in Q3 fiscal 2017 shipments into Asia represented 77% of total net sales. North America represented 16% and Europe represented 7%. Total sales to distribution represented approximately 64% of net sales, and direct sales represented approximately 36%. Bookings in Q3 increased nicely over the prior quarter, and increased by nearly 48% [ph] over Q3 of fiscal 2016. The book-to-bill was again above one and the turns bookings accounted for approximately 50% of shipments during the quarter. Gross margin on a GAAP basis for Q3 of fiscal 2017 was 59.1%, down a 108 basis points sequentially, due to higher share based compensation associated with Comcast warrant. In Q4 of fiscal 2017, we expect GAAP gross margin to increase between 30 basis points to 90 basis points from the prior quarter as we expect we’ll record a lower net sales reduction from the Comcast warrant. Operating expense a GAAP basis declined approximately 36% from the prior quarter, reflecting the impact of the $25 million gain from the divestiture of our Snowbush IP business. Slightly offset by a $2.1 million bad debt reserve for a distributor who suddenly filed for bankruptcy protection. In Q4 of fiscal 2017 we expect our operation expense on a GAAP basis to increase significantly due to the node occurrence of the gain from the divestiture. In Q3 of fiscal 2017 our GAAP tax rate was 15.7% compared to 37% in Q2 as the gains from the Snowbush divestiture was taxed at a favorable rate. In Q4 we expect our GAAP tax rates to be approximately 20%. Now I'll talk about our non-GAAP results which exclude the impact of share based compensation, the gain from the Snowbush divestiture, amortization of acquired intangibles. Acquisition or disposition related and other restructuring related expenses and reserved for certain liabilities not tied to current operations. In Q3 non-GAAP gross margin was 60.4% which was flat sequentially we expect Q4 non-GAAP gross margin to be flattish as higher bonus accrual is expected to offset a more favorable revenue mix. Q3 non-GAAP operating expense was $51.9 million, up 1% sequentially. During the quarter we took a $2.1 million bad debt reserve for a distributor who suddenly filed for bankruptcy protection. The impact of this charge was partially offset by lower bonus accruals. In Q4 we expect non-GAAP operating expense to increase slightly from the prior quarter due to higher bonus accruals offset by the benefit from our scheduled holiday shutdowns. In Q3 of fiscal 2017 our non-GAAP tax rate was 20% and in Q4 we expect this range to be approximately 20% for modeling purposes we expect our fiscal 2018 non-GAAP tax rate to be between 20% and 23%. In Q3 cash flow from operations increased 24% sequentially and a 108% over the Q3 of the prior fiscal year to approximately $39 million or 28% of net sales. We ended the period in a net cash position with $298 million of cash and investments, up from $212 million at the end of fiscal 2016. In Q3 of fiscal 2017, 77% of our cash and investments we had domiciled in international accounts. Our debt balance at the end of Q3 was approximately $248 million, we recently refinanced our credit facility to get a greater operational flexibility and a spending maturity up almost the same cost as the prior facility. The balance on the outstanding stock repurchase authorization stands at approximately $62.2 million. The primary use of cash continues to be to pay down our debt, to repurchase our shares and make strategic investments. In Q4 of fiscal 2017 we expect to purchase our office building in Burlington, Canada which houses a significant portion of our signal integrity products groups operations for approximately $40 million. Accounts receivable for Q3 of fiscal 2017 increased 4% sequentially in line with net sales growth and our days of sales outstanding increased by two days to 38 days and remains below our target range of 40 to 45 days. Net inventory in absolute dollar terms in Q3 of fiscal 2017 was flat with the prior quarter. While days of inventory declined four days sequentially and represented 100 days of -- 101 days of inventory, just above the target range of 90 to 100 days. In Q4, we expect our net inventory and our days of inventory to increase as we build ahead for the Chinese New You. In summary, we are pleased with the fiscal 2017 strong performance to-date and the best than seasonal expectations we have guided for Q4. If we achieve the midpoint of our Q4 guidance, fiscal year 2017 net sales would have increased approximately 11% and operating profit would have grown a corresponding 53%, which we expect will certainly outperformer our peers in the industry. This leverage is enabled by a stable gross margin at the high end of our 55% to 60% range and operating expenses are remaining in check. We believe we are making solid progress towards our non-GAAP operating profit target range of 25% to 30%. I will now hand the call over Mohan.
Mohan Maheswaran: Thank you, Emeka. Good afternoon everyone. I will discuss our Q3 fiscal year 2017 performance by end market and by product group and then provide our outlook for Q4 of fiscal year 2017. In Q3 of fiscal year 2017, we achieved non-GAAP net sales of $140.9 million, which was an increase of 22% over Q3 of fiscal year 2016, an increase of 4% over the prior quarter. We posted non-GAAP gross margin of 60.4% and non-GAAP earnings per diluted share of $0.37. In Q3 of fiscal year 2017, demand from the high-end consumer end market increased from the prior quarter and represented 29% of total net revenues. Approximately 22% of the high-end consumer net revenues was attributable to handheld devices and approximately 7% was attributable to other consumer systems. Demand from the enterprise computing end market decreased from the prior quarter and represented 27% of total net revenues while demand from the industrial end market was flat in the prior quarter and represented 26% of total net revenues. Finally, demand from the communications end market increased from the prior quarter and represented 18% total net revenues. I will now discuss the performance of each of our product groups, beginning with our signal integrity product group. In Q3 of fiscal year 2017, net revenues from our signal integrity product group declined 4% sequentially as anticipated, but grew 15% over Q3 of fiscal year 2016 and represented 43% of total net revenues. Net revenues from the enterprise computing end markets declined sequentially as we had expected as demand for our data center CDR products, softened slightly from a record Q2 performance. In addition, our PON business remained soft during the quarter. Net revenues from the communications end markets increased as we saw a modest increase in the demand of some of our Telecom backplane products. Revenues from the industrial end market were approximately flat. We have recently seen a pick-up and activity from both the PON and wireless base station market and expect to see both of these businesses stop to recover in Q4 and continue into the first half of FY18. We also expect demand for our 100 gigabit per second CDR platforms used in cloud and hyper scale data center platforms to increase nicely in Q4, and potentially set another quarterly record. Semtech's signal integrity product group is benefiting from several main drivers, that should result in continued growth and record revenues over the next several years. First Semtech's is one of the leading providers of Clock Data Recovery circuits or CDR’s and physical media devices or PMD’s used in 1gigagbit per second, 2.5 gigabit per second, 10 gigabit per second, 25 gigabit per second and a 100 gigabit per second optical modules to the data center, PON and wireless base station markets. Second, the increasing use of a 100 gigabit per second modules by the cloud and hyper scale data center markets, is leading to high demand for Semtech's quad 25 gigabit per second CDR solutions and contributing to higher Semtech content in these optical modules. Semtech's CDR platforms offer best in class performance with a low overall solution cost. Third, as single integrity product group continues to expand its optical portfolio, including single and quad channel optical solutions with integrated PMD functions. We recently announced the GN28L95 integrated laser driver and limiting amplifier platforms. Targeting asymmetric 10 gigabit per second PON applications. Our road map includes our higher performance single-lambda 100 gigabit per second PAM4 platform. This program based on MultiPhy DSP architecture is progressing well and we anticipate sampling first silicon in Q1 of fiscal year 2018. We have a number of strategic engagements with Tier1 customers for our new single-lambda 100 gigabit per second PAM4 platform and we believe once the platform is available we will gain a lead position in the emerging 100 gigabit per second single-lambda optical market. As well as the quad-lambda or 400 gigabit per second optical market for cloud and hyper scale data center solutions. We believe our signal integrity product group is very well positioned to continue its double digit revenue growth, which it has produced over the last five years. For Q4 of fiscal year 2017, based on strong bookings and a healthy starting backlog, we expect net sales from our signal integrity product group to increase, led by increasing demand from the data center, wireless base station and PON markets. Moving on to our protection product group. In Q3 of fiscal 2017, net revenues from our protection product group increased 10% sequentially and increased 21% over Q3 of fiscal year 2016 and represented 29% of total net revenues. Demand increased from the high-end consumer, enterprise computing and communications end markets. While the industrial end market declined from the prior quarter. Demand from our Korean smartphones customers increased from the prior quarter, despite the cancellation of Samsung’s Note 7 Smartphone. While the impact of the Note7 cancellation is significant, our diversification and growth drivers across our protection business and our overall business provide enough balance to minimize the impact. Demand from our Chinese smartphone customers was also very strong in Q3. Further diversifying our protection consumer business and positioning us well for sequential growth in Q4. Our protection product group continues to benefit from several industry trends, the most significant trend is the transition by mobile system manufactures to more advanced chip lithographies, which results in lower levels of on chip protection. As protection circuits typically require larger geometries to be effective. These mobile system manufacturers are turning to Semtech's innovative Z platform to ensure their systems are protected against ESD and surge events. This trend is also driving the need for more advanced protection to be added in communications, computing, industrial and automotive systems where once good enough discrete protection devices are no longer sufficient to protect sensitive electronic systems. This is particularly evident in the automotive and enterprise computing segments as both these segments are increasingly using advanced chip lithographys. Our protection product group continues to focus on expanding its platforms to address broader vertical markets. During the quarter our protection product group introduced new platforms targeted at interfaces covering a broad range of applications and end markets. We introduced the RClamp 2594M, a four line gigabit Ethernet protection device for Telecom and Industrial systems. This device provides protection for 35 amps of surge currents on quad 2.5 gigabits per second Ethernet lines. We also introduced EClamp 2374-KQ a four line integrated ESD protection and EMI filter for automotive infotainment applications. We believe our strategy of focusing on advanced lithography protection and diversifying our protection business is paying off and should help drive growth in our protection product group over the next several years following a return to growth this year. In Q4 of fiscal year 2017 we expect that protection business to be approximately flat from the prior quarter as lower seasonal demand from our Korean Smartphone customers should be partially offset by growth from our Chinese Smartphone customers. Turning to our wireless and sensing products. In Q3 net sales from our wireless and sensing product grew 16% sequentially and grew 45% over Q3 of fiscal year 2016 and represented 17% of total net sales. This was a new quarterly net revenue record for our wireless and sensing group led by record quarterly revenues from both our LoRa platforms and our proximity sensing platforms. During Q3 demand increased for our LoRa platforms as global LoRa deployments continued to accelerate. In Q3 several trials of deployment using a LoRa based low power wide area network for IoT and end-to-end applications were announced. These announcements included Comcast announced an agreement to a LoRa technology enabled platforms will be used in their machine Q trial venture service to provide IoT connectivity to enterprise and industrial customers. This service is expected to start with two cities and can be expanded up to 30 cities within a period of 30 months. Comcast is the first major carrier in the U.S. to announce a LoRaWAN platform and we see this as a key milestone for LoRa in the North American market. It is early in the program but the feedback from Comcast to date on the technology and its value has been very positive and they are on track to complete their initial network cloud developments by end of March 2017. Softbank of Japan announced that they would be deploying a LoRaWAN based network that is expected to provide services for applications such as automated gas and water meter reading, tracking for senior citizens and children, monitoring the highway and railroad infrastructure and managing of logistics and fleets of cars, trucks and buses. ZTE in China announced the launch of their first IoT demonstration base dedicated to LoRa technology in Nanjing, ZTE communicated initial plans to deploy LoRa in over 30 cities. South Korea Telecom announced a completion of their nationwide LoRaWAN network and are now actively driving IoT and M2M use cases in South Korea. Digital Catapult in the UK launched a pre-LoRaWAN network across London intended to foster IoT innovation by providing small businesses with free access to LoRaWAN network for testing IoT applications. The initial network is expected to consist of 50 base stations making it the largest LoRaWAN network currently in UK. IoT solution providers KotahiNet and Loriot announced the deployment of a LoRaWAN smart sensing network that covers more than half population of New Zealand and allows businesses, local governments and conservation groups to collect and analyze IoT data. And Pervasive Nation announced an IoT network rollout in Ireland based on LoRa. These are just the samples of some of the 50 LoRa based networks in trial or full deployment across various regions of the world. It is becoming clear that the low power, long range and low costs of a LoRaWAN network is a true enabler to many emerging IoT applications, we continue to expect the most if not all major regions of the world will have some form of LoRaWAN network deployed or in the midst of deployment by the end of calendar year 2017. The global success of our LoRa technology continues to be driven by our partners in the LoRa Alliance, which now represents over 400 companies that are involved in everything from developing LoRaWAN sensors, developing LoRaWAN gateway, deploying LoRaWAN networks, providing LoRaWAN cloud-based analytics and offering LoRaWAN based IoT services. To further expand the number of LoRaWAN IoT use cases in the market we just announced the availability of our LoRaWAN picocell gateway reference design. This LoRaWAN picocell will have a USB Interface and enable consumers and small enterprises to create their own private LoRaWAN network at very low costs. This indoor picocell gateway can be used to connect thousands of sensors across a several mile radios for less than $100, making it perfect for smart building, smart enterprise, smart campus and smart retail environments. The picocell gateway reference design has already been picked up by several OEMs and will be marketed under their brand names. We will demonstrate the picocell gateway reference design along with other gateway reference designs at the consumer electronics show in January together with our LoRa Alliance partners. In Q3, we also announced that we received our first LoRa geo-location related license and royalty revenues. While small today, we do expect these revenues to increase as the use of LoRa with geo-location and the geo-fencing increases and the availability LoRaWAN networks increases. Our GPS-free geo-location capability that allows IoT operators to add asset tracking and geo-location to any LoRaWAN sensor connected to a LoRaWAN network is creating additional revenue opportunities for LoRaWAN operators and service providers. We have four signed agreements in place with an increasing number of others in the pipeline. As our geo-location accuracy improves and the global use cases increase, we will provide more details on this very exciting part of our business. Our LoRa business continues to exceed our highest expectations and we believe we are well positioned to become a leader in the global IoT market. In Q3, our proximity sensing platforms also delivered a quarterly net revenue record, as mobile device manufacturers use our proximity sensors to help minimize harmful RF emissions. Historically tablets have been the primary target for our proximity sensing devices, but we are seeing increased demand from smartphones and wearables as these mobile devices integrate high powered radios and as human body protection regulations increase. Driven by these trends, we expect the demand for our proximity sensors to continue to grow. For Q4 of fiscal year 2017, we expect net sales from our wireless and sensing product group to decrease slightly from Q3 as lower seasonal proximity sensing demand is slightly offset by what is expected to be another record performance from our LoRa business. Turning to our power and High-Reliability product group. In Q3 of fiscal year 2017 our power and High-Rel product group increased 5% sequentially and increased 18% over Q3 of fiscal year 2016 and represented 11% of total net sales. Demand increased from the prior quarter from our communications and industrial end markets, while demand decreased from the high end consumer and enterprise computing end markets. Our power and High-Rel business remains focused on delivering differentiated platforms for the automotive, industrial and wearable segments. Semtech’s wireless charging platforms delivered flexibility and versatility by offering a programmable multi-mode and scalable power range from 100 milliwatts to over 20 watts ideal for wearable and infrastructure applications. We recently announced the LinkCharge CT a dual mode wireless charging system for you in public, enterprise and consumer furniture countertops. Our solution is compatible with current industry wireless charging standard, enabling interoperability between furniture infrastructure and a diverse number of mobile devices and wearables. Our wireless charging business has a number of design winds with a broad group of customers in fast growing markets that should start to move to production over the next two to four quarters. During Q3 demand increased nicely for our isolated switch platforms, Semtech’s solution is optimized for low voltage cooking applications, such as smart thermostats and other home automation systems, where customers are looking to replace older mechanical relays with smarter, quieter and more reliable solid state technologies. We recently announced two new Neo-Iso products to the TS13102 and the TS13103 that expand the companies Neo-Iso platform and enable self-powered control systems in IoT applications such as smart thermostats, alarm panels and factory automation systems. We expect this business to continue to grow as more devices transition from older mechanical relay solution. In Q4 of fiscal 2017 we expect sales from our power and High Reliability product group to decline consistent with normal seasonality. In Q3, the total company distribution POS increased 16% from the prior quarter and achieved a new 13 week record. Distributer inventory declined by three days from 73 days in Q2 to 70 days in Q3 and remains at the lower end of our targeted range of 70 days to 80 days. Our distributor business remains very well balanced with 52% of the total POS coming from the high end consumer and enterprise computing end markets and 48% of total POS coming from the industrial and communications end markets. Moving on to new products and design wins. In Q3 of fiscal year 2017, we released 24 new products and we achieved 1,912 new design wins. Now let me discuss our outlook for the fourth quarter of 2017. Based on the strong starting backlog and strong current bookings trend, we’re currently estimating Q4 non-GAAP net revenues to be between $134 million and $142 million. To attain the midpoint of our guidance range or approximately $138 million, we needed net terms orders of approximately 36% at the beginning of Q4. We expect our Q4 GAAP earnings to be between $0.13 and $0.17 per diluted share and our Q3 non-GAAP earnings to be between $0.33 and $0.37 per diluted share. I will now hand the call to the operator and Sandy, Emeka and I'll be happy to answer any question. Operator?
Operator: [Operator Instructions] Your first question comes from the Cody Acree from Drexel Hamilton. Your line is open.
Cody Acree: Mohan could you maybe give any more specifics about the sequential impact or maybe what you expect the sequential impact would be from the issues with the Note 7?
Mohan Maheswaran: Well, all the impact is built into our guidance, Cody. So, we had content both protection and sensing content in the Note 7, so it was a disappointment to see it cancelled. But the impact as you can see is fairly minimal. We have -- in Q4 the protected revenue was about between $4 million and $5 million from the Note 7, following which, is not there any longer and you can see the strength of our guidance and the demand is fairly well balanced because fairly minimal impact for us.
Cody Acree: It was similar for Q3?
Mohan Maheswaran: Q3 was smaller. It's about a $1 million impact.
Cody Acree: Could you maybe, Mohan, just rank order through FY18 maybe just your views of from a $1 growth contribution, whether it would be by product application, by production or application, where you expect to see the most growth?
Mohan Maheswaran: Well, so in terms of growth rates, obviously our wireless and sensing business is growing phenomenally well. Obviously the LoRa story is gaining great momentum, also the sensing side as well because the proximity sensors that we have now as I mentioned on the call getting into the mobile devices both smartphones and wearables is going to drive the growth there. On the single integrity side, clearly data centers is going to continue to grow nicely. We believe that we have a very good position in 100 gig from the CDRs, the quad 25 gig CDRs and as I mentioned on the call PON and base stations coming back a little bit. PON for sure, 10 gigabit PON we have a very strong position and I think that will grow nicely. So that signal integrity product business should grow well as well. On the protection side, we think that now -- that the Note 7 issue is behind Samsung, that they'll see a little bit of recovery next year, but regardless of whether they do or not, we feel good about our position in China, protection smartphones and also our diversification strategy. We're getting more protection into automotive applications, into computing and communications applications, so we think our protection business will show growth. And then on the power and High-Rel side, the wireless charging, it's still early days, but we still think that that's a segment of the market that's going to at some point take off here as more and more devices require widest charging and infrastructure gets more deployments.
Cody Acree: And then maybe lastly, could you just talk about the competitive landscape for LoRa. Obviously a lot of different standards out there for low power wide area networking. Could you just talk about what you're seeing as far as maturation and maybe where you see the most competition?
Mohan Maheswaran: Well, see now that's the beauty about LoRa, so on the low power wide area network there really isn't that much competition. From our standpoint, the cellphone technologies like LTM and NBIoT which supposedly play in the same space, but are higher power and higher cost technology. So we don’t really view them as competitive and they are higher bandwidth technology, so we view them as more of a complement to LoRa. And then the other competitors we have are very specific to one vertical or their more service provider, so completing against the likes of Comcast and SKT, those guys not really competing against us. So from that standpoint, we feel like, we have a pretty good position with where LoRa is today.
Cody Acree: Congratulations. Thank you.
Operator: And your next question comes from Steve Smigie from Raymond James. Your line is open.
Steve Smigie: I’ll just follow-up on the last question. With regard to LoRa to get a part out today, taking you beyond unlicensed spectrum for LoRa into licensed. And I was hoping to talk around the dynamics around that a little bit. It seems like the carriers are hoping to have some advantage in the license spectrum, so -- any color you provide there?
Mohan Maheswaran: Yes. So today’s release was not anything related to that Steve maybe you misread that. What we announced yesterday was the picocell gateway. So this is a -- actually it’s a LoRa gateway essentially for indoor usage. So what it does is essentially what we’ve had up to data carried grade gateways, these are gateways that deploy on towers or strands and essentially cover a city. So what we’ve done with the picocell gateway is just provided an entry point into the consumer and small enterprise space by allowing anyone, a consumer or private enterprise to put a LoRa gateway in their home or in their building and connect to bunch of sensors to create their own private network at a very low costs. So it certainly is still using unlicensed sub 1 gigahertz technology.
Steve Smigie: Okay. Could you talk about where you think Chinese is as a percentage of handsets now? So is Samsung maybe 5-ish percent of revenue? It's back to where Samsung -- and if you added up all your Chinese guys Huawei, et cetera, what would they be as a percent of total revenue?
Sandy Harrison: Yes, Steve, this is Sandy. So if you look at where the Chinese are, they’re sort of in that mid-single digits, right around there, depending upon any particular quarter. That’s basic where we’re seeing them coming in at.
Steve Smigie: Okay, great. And then --.
Mohan Maheswaran: [Multiple speakers] to add some color, Steve. For next year we anticipate that our China handheld business will be probably about 40% to 45% of the total handheld business and Korea will be about 55% to 60%. So certainly China for us, the China handset business has come on nicely and is offsetting to some extent, some of the issues we’ve had from our Korea business.
Steve Smigie: Okay, great. And then in the 100g space, I was hoping you could address a couple topics. One of which would be just where you see your market share at this point in 100g data center. And then I was hoping you'd talk a little bit more about DSP and multi-fi and progress you're making there. Obviously, there was an acquisition announced by one of your competitors, so I was hoping you could talk relative those guys and also versus an infi as well versus the non-single end approach.
Mohan Maheswaran: So today, obviously our approach is selling CDR’s, we sell CDR’s and we sell PMD devices into the 100 gig market, but also 25 gig, 10 gig and lower bandwidths and so. And that’s where the revenue is today and that’s what we’re doing. So most of our 100 gig revenue is coming from quad 25 gig CDR modules and we think we have a very good position there. Certainly we’re having record quarters, we anticipate this year will be a record growth from last year and I think some 250% growth versus last year’s 100 gig CDR sales. So certainly we feel we have a very strong position. And I think that -- we anticipate that will continue next year. And that’s both data center and kind of metro sales. The question is really on the timing of single-lambda 100 gig programs, and we obviously are one of the first ones to get there and then talk about our strategy and approach with that, with the MultiPhy deal we did. Good progress as I mentioned, we should see silicon in the Q1 of FY18. I would anticipate by the second half of next year that things will start to clearly up a little bit, about which customers and which technologies are going to win, but certainly revenue probably is not going to be significant I think for -- until and may be even in 2019 -- 2018, early 2018 to 2019 time frame. But we think we’re well positioned with that platform, but for today all the revenue is coming from CDRs and PMD devices. So obviously our competitor are Macom and Infi and then they have their own acquisitions and their own DSPs and I think there is enough room for several players, I don’t know exactly how it’s going to play out, but today we believe our position is very good.
Operator: Your next question comes from Craig Ellis from B. Riley & Company. Your line is open.
Craig Ellis: I will just start with congrats on what’s been a very good execution to Emeka and Sandy thanks for all the transparency with the GAAP and non-GAAP translations. Starting off with protection, Mohan, you’re clearly seeing very good diversification in that business, so taking a step back, where are we in the longer term prospective of your desire to diversify that business, are we 80% of where you’d like to be, something less than that, just give us a sense for how you deal about the diversification, big end markets and customers within some of those end markets?
Mohan Maheswaran: Yes that’s a good question, Craig, I think its early days in that diversification. What I -- the first, obviously we had many quarters of sequential decline in this business and the goal was to start to grow the business again, and we’ve now had two sequential quarters of growth, which is very encouraging. But the charter was, okay let’s diversify away from handhelds and Samsung and try to get some more automotive and industrial business and communication business. And we have new products that are coming out in those areas, so I feel good about the diversification strategy there. But the other aspect of it was to crack other handheld guys, other than Samsung and we’ve done that with the Chinese. We are doing very, very well particularly in China. So I would say it’s early though, I would say we’re 30% of the way there, we still have a ways to go before I would say that, this is now a fully diversified business, so that really mitigating the risk against or any downside from any of the handheld guys, but we do like the handheld space still, you know I still believe that it's you know a good space for us. As I mentioned the smartphones across the globe are moving to more advanced lithographies and that really kind of fits our technology very well, so you know I hope that we'll continue to see you know that trend in all of the markets and if that trend continues in the other markets, I think then protection you're going to see gets back to the double digit growth, which is really what we want.
Craig Ellis: Just following up on that point, if we see as I think there are indications that three of the four baseband manufacturers that could go to 10 nanometer in the first half of the year are from China, and are going there. Mediatech from Taiwan, but HiSilicon and Spreadtrum are all I think planning to release 10 nanometer baseband product. If that happens and given that those are likely to be deployed into China handsets, what does that do for protection uptake versus the last transition at 16, 14 and the one before that at 20?
Mohan Maheswaran: It just makes -- it just means that -- what happens is that all of your interfaces, your antenna interfaces, your memory interfaces, your touchscreen interfaces, your microphone, all of these things have to be protected because of the risk of damaging your main baseband processor or some other key component in the device and doing it at the higher speeds with the more advanced lithographies is just very, very difficult to do with traditional protection. And that's why we've always said, we said on our analyst day and we’ve said for many years that as the trends go in our favor more companies will -- more devices will come to Semtech for their protection.
Craig Ellis: Then the next question is with regards to LoRa, clearly deployments are moving along at a torrid pace, and I'm not asking for a guidance question on '17 and I think you clarified some of the relative growth dynamics in response to Cody's question. But can you help us with the key milestones as you look at that business for 2017, whether it be material licensing revenues or deployments in regions where they may not be at a level where you would like right now, what are some of the key things that you would like to see with that business as you go through the coming year?
Mohan Maheswaran: Yes and so I have gone out and said that we will get this business to $100 million within a few years. This year we'll end up somewhere between $20 million and $30 million, LoRa enabled business in the next year, I hope that will double to about 40 million to 50 million and then double again in FY '19. But obviously that revenue is based on several factors, one is more and more gateway deployments, second is more ends nodes connecting to those gateways and then the third is geo-location and other types of revenues coming from them. The good news is that we are seeing a lot of gateway deployments and so -- across the globe, we mentioned Korea, I've mentioned China, I've mentioned obviously the Comcast deal, we are hopeful that that is going to translate into a nationwide deployments in the U.S. and a lot of connectivity based on that. So the way we view is that as the networks get deployed it's just a question of timing, whether how quickly the use cases come onboard and so we're looking at that more and more. The nice thing is really about this IoT space, it is really a new industry that's been created and therefore the opportunity is huge and the applications are diverse, it's not just you know one application space. But those are the things we look for, gateway deployments across the different regions, and then end node deployments and use cases.
Craig Ellis: Thank you. And then the last question is for Emeka. Emeka beyond the fiscal fourth quarter, 52 million midpoint operating expense number. If we see the business grow and grow solidly in the first part of fiscal ’18. What does that do to operating expenses from that $52 million points can they be sticky or do you need add talent to fund some of the growth that is possible longer term?
Emeka Chukwu: No, Craig, I think like I indicated in our call last quarter, the expectations that we have now and what we’re planning to do is to have the next fiscal year especially be flattish in terms of OpEx to our -- on a non-GAAP basis to our FY17. So really driving a lot of leverage of the expected top like growth in FY18 is truly a focus of the senior management team in this company. So I would expect that as we go into next year that operating expenses should be running at the current levels.
Craig Ellis: Sounds good. Thanks guys.
Operator: And your next question comes from Harsh Kumar from Stephens, Incorporated. Your line is open.
Harsh Kumar: Yes. Hi guys. Congratulations. Tremendous execution Mohan, Emeka and the team. Mohan, I just had a quick question on optical, on the PON side I notice that I think you commentary said that you’re expecting a little bit of a pick-up. I was wondering, if you could distinguish between the parts upon that you’re seeing a pick-up. Are you seeing a pick-up in 2.5 gig versus 10 gig or are you seeing kind of a universal lift up here shortly?
Mohan Maheswaran: Mostly 10 gig, Harsh. We anticipate the 10 gig was going to start to emerge, but it’s real now we are seeing good orders in that space. And so that’s very encouraging, we think our position is very strong in the 10 gig PON based. That’s where most of the strength is.
Harsh Kumar: Okay. And then I’m looking at your guidance. And I think historically, I think this time you said you needed 36% turns to make the midpoint of your guide. I believe historically in the past you’ve needed higher turns. Am I accurate in that assessment and your backlog is just kind of pretty strong going forward and you’re just kind of keeping room? Is that how I should look at it or is this a normal level of turns that you assume at this time of the year?
Mohan Maheswaran: No, your commentary is very accurate, Harsh. Typically we would require a much higher number of turns. The backlog was very, very strong for us in Q4 and so the turns requirement is lighter. Particularly in the signal integrity product group, and wireless and sensing product.
Harsh Kumar: Great. That’s all I had guys. Congratulations.
Operator: And your next question comes from Rick Schafer from Oppenheimer. Your line is open.
Rick Schafer: I guess just one more quick follow-up on LoRa. You guys obviously announced the Comcast milestone in the quarter. Since, it’s been a month or two, I mean have you guys seen any noticeable impact or acceleration in terms of adoption or interest from some of the other players. Now that they’ve kind of bought in a big name like Comcast like that is bought in. Any commentary there?
Mohan Maheswaran: Yes. I would say obviously Comcast is a big name globally actually and we did announcement recently with Dr. Peng in China, which is one of the Comcast equivalents over there. We are seeing cable operators around the world start to look at this very closely and say, hey we really don’t need a mobile system in place, network in place to be able to do this, let’s take a look at what Comcast is doing. One of the reasons why we did the picocell gateway announcement just yesterday was to demonstrate that actually we can create a very powerful LoRaWAN private network throughout the globe with a small gateway and n number of devices. And then if you add to that, from the likes of a Comcast or a big network MNO, like an SKT. You can get pretty good nationwide coverage from end-to-end quite quickly at pretty low cost and so that’s somewhat a game change. So Comcast obviously with their name brand and what they’re doing and how they’re thinking about this, is a very powerful message and it’s certainly getting a lot of -- we’re getting a lot of leverage from that.
Rick Schafer: Thanks and may be just switching gears to wireless charging. Any update there or may be, if you could frame sort of how big that business is for you guys now and, and how big does that business need to be or what kind of contribution does is need to be making for you guys to sort hit that $1 billion target, you guys have talked about?
Mohan Maheswaran: Well we have -- today it’s really small Rick, I think it’s still in its early stages and we’re playing most in the transmitter side. But we think it’s one of those industries that is going to become much bigger quite quickly once all of the smartphone manufactures and all the wearable devices adopt wireless charging, which they don’t have today, but once they do that, I think it will stimulate more demand for wireless charging. It’s quite a challenging technology to implement, and so we think we have a good position there. We believe it will be a $100 million business for us, sometime down the road. But I think it’s quite a way’s out from that. I think initially it’s going to probably take three-four years before we get to a point, where we could say, it’s on its way there. I think that’s a kind of 10 year journey.
Rick Schafer: And that’s clear, and then my last question may be for Emeka, how would you guys frame your legacy business at this point? Are we at a point where revenues are stabled? Do you feel like there is any risk there, any future impact or drag on growth or we passed all that now?
Emeka Chukwu: I think we’ve passed most of it. A lot of the decline in our legacy business is coming from the older long hall studies and stuff that we got out of a few years ago. And I think that business has been down significantly to basically noise level at this point. So my expectation is that on the legacy side, that we’ve passed most of the decline and anything else that it should be maybe flattish or slightly down going forward.
Operator: Your next question comes from Ian Ing from MKM Partners. Your line is open.
Ian Ing: Emeka, a debt level question here, you’re net cash turned slightly positive in the quarter. Could you remind us how much operating cash you need to run the business and if you’re net cash does cover operating cash, would you retire the debt immediately or keep some leverage for other reasons? Thanks.
Emeka Chukwu: While the problems with retiring the debts immediately is that a lot of the cash that we have, 77% of that is still offshore. And we can only service the debt with our domestic cash. Going back to your question of how much cash do we need to run the business, that’s always a tough question to ask, but I’ve always sort that pegged that in the $50 million to a $100 million range.
Ian Ing: Okay thanks, and then in your prepared commentary you talked about seeing a pickup in the wireless base station business, should we just think of that as yearend CapEx budget flushes at the China carriers or is there some other things going on like inventory replenishment or other things?
Mohan Maheswaran: I think that's the way you should think about it today, just a end-of-the-year kind of thing. Ian, we don't have that much visibility into beyond Q4 for base station. I think PON clearly we are seeing first half next year also will be strong as well as data center for the base station stuff, I think it's more of a end-of-the-year maybe a Q1 kind of thing as well.
Ian Ing: And then last question, your CapEx in the quarter uptick here to 8.4 million, is that sort of a discrete event or it that more sustained going forward? Thanks.
Emeka Chukwu: I think it's probably -- I think it's not a discrete even just for quarter. We do expect -- typically we plan our CapEx to be at 5% of net revenues. I think and the thing is that we do have a whole lot of exciting new platforms that continue to come out all the time. And sometimes some of the test back configurations that we need to bring this to marketplace is a little bit on the more complex side and we need to replace those. So the $8 million per quarter is going to fluctuate from quarter-to-quarter, but I think if you are thinking of CapEx just think about 5% of net revenues.
Operator: [Operator Instructions] And your next question comes from Steve Smigie for Raymond James. Your line is open.
Steve Smigie: Emeka, it seemed like you backed off some of your previous targets on LoRa growth here a little bit, I was just curious if I am reading that right or just is it a wider range or how should we think about that?
Emeka Chukwu: No I don't think we backed off anything, I mean I think we talked about having a $20 million to $30 million revenue this year and seeing that doubled next year and then the following year getting to $75 million to a $100 million of revenue, so I think those are still the targets that the company is marching towards.
Mohan Maheswaran: Yes, Steve, we said that $100 million in three year. We're making really good progress towards that. It's, I think next year, next fiscal year is going to be a very important year for us. We're projecting essentially a doubling of the revenue for LoRa enabled revenue and that's going to be the key milestone. I think if we achieve that next year and then getting to the $100 million I think is within next fiscal year after that is going to probably the easily doable.
Steve Smigie: And Mohan, could you talk a little bit about what is the dollar content on the gateway look like?
Mohan Maheswaran: Well, depends on the Gateway, you carrier grade gateways which are typically in the $500 range to the $1000. I think the content for us is about $20 to $30, and in the picocell gateway it's kind of closer to the $10.
Steve Smigie: And for the PON I just want to go in that a little bit more. Obviously it seems like it fell off, is it a little bit softer this quarter than you expected. And then, it sounds like that’s coming back, I think it wasn’t a fall, so it’s just more about inventory and the overall demand plans changed very much. And so to that point, are we sort of set to see you back ultimately to levels you were at before and maybe even tad better?
Mohan Maheswaran: Yes, I guess Q3 wasn't a surprise. We knew it was going to be soft this quarter, but we know booking are strong now and we did anticipate by the end of the year it was going to start picking up. And as I mentioned to Harsh, it's really the 10 gig PON that seems to be doing quite well. So this is indicative of the trends in the marketplace, higher bandwidth in fiber to the home, higher bandwidth to the enterprise. It’s just going to be a continues trend we think so. When you look at the trend in data centers and you look at the trends in fiber to the home and PON, you look at trends in base station. They are all increasing in bandwidth, so they’re all kind of fitting our sweet spot, all of the higher speed signals will need CDRs, so in some cases PON, which historically we’ve just sold PMD type of devices and we’ll also require some applications CDRs and the same is true of base station, same is true of the data center side. So we just get more content right.
Steve Smigie: Okay. So if I could just add, it sounds like you’ve got to win on the geo-location which seems a lot sooner than I would have expected. Was that first win? And then also on proximity sensors, you talked about the potential of getting into hands, it sounds like it’s definitely there, it sounds like to could go into Chinese handsets. So that seems like a bigger opportunity even than I was thinking at some point, so certainly you’re talking a little bit about that too?
Mohan Maheswaran: Yes. So the proximity sensing, we’ve obviously had good success in tablets and some laptops and things like that. But we’ve been trying for a while to get into smartphones and wearables and we now have success in smartphones. And so that’s a good use for us obviously, Q4 probably will be a little bit seasonally down, but as we see next year, that should grow nicely. And one of the thing that’s helping us there is just the regulations on manufactures having to control radio power and human contact. So that’s a good thing for us. And then your other question was?
Steve Smigie: You had your first win there on the geo-location?
Mohan Maheswaran: Yes. So we’ve got the good momentum on geo-location. And you will start to see some press releases and some news from us as we get that progress. Bear in mind the accuracy still needs work and we’re still developing the technology, but there are some applications where the ability to not use GPS, so having a sense that don’t have GPS, means that you can have a sensor that runs for 5 to 10 years without changing a battery on the end mode. And then if the asset is something that where the accuracy doesn’t need to be better than 50 meter kind of range and I think there is many applications for that. So those are the wins, we’re currently seeing this more today and I don’t think I want to indicate that this is going to be huge revenue, but I think it’s a good indicator that the technology works and is valuable. And so as we see more progress there, we’ll start to communicate more on that.
Steve Smigie: Okay, great. Thank you.
Operator: There are no further questions. And I will now turn the call back over to the presenters.
Mohan Maheswaran: Okay. In closing, Semtech is now delivered four quarters of sequential performance of the upper end of that guidance and we are forecasting a better than seasonal decline for Q4. We have focused on divesting non-core assets and diversifying our protection business while investing in exciting high growth markets such as cloud and hyperscale data centers, optical connectivity, IoT and wireless charging, which we believe positions us well to outperform the industry this fiscal year. We have also maintained our spending discipline, which has enabled us to deliver earnings growth well in excess of our revenue growth demonstrating the leverage in our model. With that we appreciate your continued support of Semtech. I look forward to updating you all next quarter. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.